Operator: Good morning, ladies and gentlemen, and welcome to the OR Royalties Q2 2025 Results Conference Call. [Operator Instructions] Please note that this call is being recorded today, August 6, 2025, at 10:00 a.m. Eastern Time. I would now like to turn the meeting over to our host for today's call, Mr. Jason Attew. [Foreign Language]
Jason Mark Attew: Good day to everybody, and thanks for your attention this morning, as I know it's a busy reporting week. Procedurally, I'll run through the presentation, and then we will open up the line for questions. For those participating online via the webcast, you can submit your questions in advance through the webcast platform. Today's presentation will also be available and downloadable online through our corporate website. Please note that there are forward-looking statements in this presentation from which actual results may differ. All amounts presented and discussed on today's call are in U.S. dollars, unless otherwise noted. I'm joined on the call today by Frederic Ruel, the company's VP Finance and Chief Financial Officer as well as my other colleagues as indicated on Slide 3. Taking a look back at OR Royalties second quarter of 2025, we were pleased with our GEOs earned, our cash margin, cash flows as well as our overall debt reduction. OR Royalties earned 19,700 GEOs in the second quarter, a modest step-up over the first quarter of the year, which puts the company on track to achieve its previously published full year 2025 GEO delivery guidance of 80,000 to 88,000 gold equivalent ounces. Recall that we had been very explicit about the fact that due to sequencing at some of our major producing assets, including Malartic and Mantos Blancos, the first half of the year was always going to amount to approximately 45% of the midpoint of our 2025 GEO guidance range. And basically, we're there or modestly above it as of June 30. Needless to say, we're expecting a stronger second half to the year. Of note is that the first half of 2025, there's approximately 1,200 GEOs that were not realized compared to our internal budget due to the higher gold/silver ratio in the first half of this year versus the ratio we used for our annual guidance of 83:1. That said, higher gold prices have translated to record cash flows from operating activities for OR Royalties for both the second quarter and the first 6 months of the year. So as you can imagine, our shareholders should be satisfied with these price movements. Our cash margin remained robust in the second quarter, but saw a slight dip from the first quarter due to some final residual GEO contribution from the shuttered Renard diamond mine. OR Royalties ended the second quarter with $49.6 million in cash. And as at June 30, we were in a net cash position for the first time in several years as the company continued to pay down its revolving credit facility during the period. And while members of our corporate development team remain extremely busy, the only transaction completed of note during the period was our acquisition of 100% silver stream on Orla Mining's South Railroad project in Nevada for a total consideration of $13 million. While seemingly small for now with an updated feasibility study expected in the project from Orla in the second half of 2025 and positive momentum seen in the permitting of new projects in the U.S. in particular, we are excited about the path forward for South Railroad over the next few years. With respect to our ongoing commitment to return capital to shareholders, the company declared and paid its quarterly dividend of $0.055 per share in the second quarter, marking its 43rd consecutive dividend. OR Royalties history of progressive dividend payments serves as a testament to the confidence that we have in the consistency, predictability and the anticipated growth of the current and future cash flows underpinning our business. Now moving on to the company's financial performance for Q2. Quarterly revenues of $60.4 million tracked higher versus the same period last year, largely thanks to increased commodity prices. Net earnings of $0.17 per basic common share for the period was also markedly a significant year-over-year improvement, where a loss was previously recognized due to the technical failure and subsequent suspension of operations at the Eagle Mine in the Yukon, resulting in OR Royalties having written down the asset to 0 in the same period last year. Most importantly, Q2 of 2025 saw year-over-year improvement in both cash flow per share at $0.27 versus $0.21 in Q2 of last year as well as quarterly adjusted earnings of $0.18 per common share versus $0.13 again in the same period of last year. Moving to Slide 6. During the second quarter of 2025, our GEOs earned came predominantly from Canada, and we derived over 93% of our gold equivalent ounces from precious metals. We are continuing to see a modestly increasing contribution from copper as part of the overall mix, almost entirely associated with our copper stream at the CSA mine. Some comments on specific mine performances during the quarter before speaking about a couple of our more material assets in greater detail. Agnico Eagle's Canadian Malartic had yet another fantastic quarter, including a significant step change quarter-over-quarter given Q1 included the work on site associated with in-pit tailings disposal adjustments that were ultimately completed faster than anticipated. A reminder that historically, we've often seen stronger back halves of the year from Canadian Malartic versus the other way around. So that bodes well for a final 6 months of 2025. At Copper Capstone Copper's Mantos Blancos operation, Q2 production was effectively flat year-over-year despite the much improved plant throughput. And this was largely due to the previously telegraphed lower silver grades experienced at the mine through the first half of our stream delivery year, which started November 1, 2024, and ends October 31, 2025. As noted, throughput levels remained at or above the mine's nameplate capacity of 20,000 tonnes per day at Mantos Blancos. And our anticipation is that silver grades will trend back upwards between now and the end of October. Finally, on Mantos Blancos, -- and as of last week's Q2 2025 update from Capstone, the Phase 2 feasibility study is now scheduled for 2026 versus the previous expectation of Q4 of 2025. Finally, we remain impressed with the ongoing successful ramp-up at G Mining Ventures Tocantinzinho mine in Brazil. Commercial production was only achieved in September of last year, and the ramp-up has gone very well. Finally, for the first time ever represented on this slide, you will see the Namdini mine in Ghana for which OR Royalties received its first payment from Cardinal during the period to the tune of 130 GEOs. Moving to Slide 7. And as I mentioned earlier, the number of currently producing assets in our portfolio stands at 22. Diving a little bit deeper into that number and as noted in our press release, during the second quarter and similar to Namdini, OR Royalties received its first royalty payment from Talisker Resources, with mining now having started at Bralorne, over which OR Royalties has a 1.7% net smelter royalty. As previously noted and based on the current trajectory of the asset, OR Royalties expects to start receiving more meaningful royalty payments from both newly contributing assets, but more so from Namdini through the second half of 2025. A note of congratulations to both operators in getting these mines up and running. Just a quick note on the donut chart in the bottom left-hand corner of the slide. Through H1 2025, OR Royalties saw over 94% of its revenues generated from precious metals. Perhaps -- but perhaps more importantly, over 26% of that came directly from silver. With the gold/silver ratio having tightened up considerably since the beginning of June, we're currently back down to about 89:1 from the 2025 highs of approximately 105:1. It is worth noting that OR royalties can provide lower risk, high quality and meaningful leverage to silver for investors that are looking for it, especially if silver prices continue to close the gap against gold and trade at ratios we have historically witnessed. Moving on to Slide 8, which many of you have seen many times before, our company continues to set itself apart from the rest of its relevant peers in 2 key areas: first, as it relates to lower-risk jurisdictional exposure; and second, as it relates to our peer-leading cash margins. Starting with the former, we continue to believe that OR Royalties is the unequivocal leader when it comes to both NAV and GEOs earned from what we define as Tier 1 mining jurisdictions, which include Canada, the United States and Australia. And even with the recent deals made by our peers, in addition to the sector consolidation we are witnessing, our position at the far left of this chart isn't expected to be challenged anytime soon. Moving to the latter, OR Royalties peer-leading cash margins provides our shareholders with both transparent leverage as well as unmatched downside protection. Switching gears to Slide 9 and focusing on our cornerstone asset, our partner, Agnico Eagle, provided some relevant information relating to Canadian Malartic, along with its Q2 '25 financial results announced just late last week. As it relates to operations during the period, gold production saw a significant quarter-over-quarter uptick with higher grades sourced from the Barnat pit were once again partially offset by slightly lower volume of tonnes milled. The higher gold grades from Barnett were a result of the continued mining of mineralized zones near the historical underground stopes in the pit that had better-than- expected grade reconciliation. In addition, and as expected, Agnico's in-pit tailings deposition also ramped up to its design capacity in the second quarter of 2025. Flipping to Slide 10. Odyssey underground gold production during Q2 was a quarterly record at approximately 26,600 ounces driven by higher grades and ore mined of approximately 3,970 tonnes per day compared to the target of 3,500 tonnes per day. The ramp-up of the service hoist to its design hoisting capacity of 3,500 tonnes per day and the increased use of remote operated and automated equipment were the main drivers for exceeding the development and the production targets during the period. On the development front, at Odyssey Underground, the second quarter of 2025 saw mine development advance ahead of schedule with a record of 4,850 meters completed. A key milestone was achieved as the ramp reached the mid-shaft loading station at Level 102. The ramp breakthrough to the shaft is scheduled for the third quarter of 2025. The main ramp towards shaft bottom progressed to a depth of 1,019 meters as at June 30, 2025. Development of the East Gouldie production levels also advanced with preparatory work underway for the planned production start- up in the second half of 2026. Building on continued exploration success at depth and the expansion of the mineral resource at East Gouldie, our partner, Agnico, is evaluating opportunities to enhance operational efficiency over the medium to long term. One option under consideration is a 70-meter extension of Shaft #1 to a depth of 1,870 meters. This initiative is being assessed in parallel with the potential development of a second shaft at Odyssey. Looking at exploration, Agnico certainly isn't slowing down with 26 surface and underground drills operating during the period. Q2 results from drilling into the lower East extension of East Gouldie extended the deposit at depth and to the east and are expected to contribute additional inferred mineral resources in this portion of the deposit by year-end of 2025. Further to this, impressive holes intersected in the subparallel Eclipse zone, which would be fully covered by OR Royalties' 5% NSR royalty, and it has Agnico believing that this area has the potential to add indicated mineral resources and potentially mineral reserves to East Gouldie by year- end. Jumping to Slide 11. It's important to note that it's only been just over a year since Alamos Gold acquired Argonaut Gold, which was an acquisition that I think over time, the market will judge as one of the best return on investments in the gold space as this expansion study evaluates increasing the Magino mill to 20,000 tonnes per day. That expansion study is expected to be published by the end of this year. In many ways internally here at OR Royalties, we see Island Gold is very much tracking the same progress being made at Canadian Malartic, just with a smaller footprint, thanks to more than triple the gold grades. During the second quarter and in late June 2025, Alamos provided an updated life of mine plan for the district and probably most notably, also announced an updated underground mineral reserve of 11.8 million tonnes, grading 10.85 gram per tonne of gold for 4.1 million ounces at Island Gold. That's up 80% from year-end 2024 and reflecting the impressive recent conversion of mineral resources. Probably the most exciting part of all, this brand-new mine plan serves as just an intermediary stepping stone prior to Alamos' scheduled release of a district expansion study that I mentioned earlier that is expected to be complete in Q4 of 2025, which could potentially see a modest increase to the planned underground mining rates from the currently planned 2,400 tonnes per day. What this could mean -- what could this mean for OR Royalties? Well, any increase over and above the currently planned underground mining rates would only add GEOs over and above the anticipated 7,000 to 8,000 of annual gold equivalent ounces that we're already expecting from this asset in the latter few years of this decade, certainly something to watch over the near future. On to Slide 12, which touches on Dalgaranga, a high-grade underground gold asset on which OR Royalties acquired a 1.8% gross revenue royalty towards the end of last year. On July 31, Ramelius Resources closed its acquisition of Spartan Resources, meaning Dalgaranga represents a key piece of the former proximate operations and infrastructure in the immediate region. Around the same time, in publicly available documents, Ramelius noted that an integrated feasibility study likely along with a maiden mineral reserve for Dalgaranga is being progressed and is set for release by the end of this calendar year. At OR Royalties, we've been extremely encouraged by the fact that Ramelius' management team continues to point to the fact that underground development at Dalgaranga is already underway and that the high-grade resource at the Never-Never deposit could be processed through Ramelius' Checkers mill prior to the end of 2025. For context, this is a full year ahead of what we originally anticipated. A further clue as to the potential time lines was uncovered last week when Ramelius provided us with an early buyback notice for 20% of the Dalgaranga gross revenue royalty, reducing the royalty rate on Dalgaranga from 1.8% to 1.44% as well as reducing the royalty rate on Benz Mining's Glenburgh and Mount Egerton projects from 1.35% to 1.08%. For context, when we were initially moving forward with the deal, we were always expecting this buyback to take place shortly before first production. On Slide 13, which provides a summary of the significant progress being made in some of our key optionality assets that are currently excluded from our 5-year outlook. If you haven't had a chance to go through our June 2 press release covering all these specific assets in more detail, I highly recommend taking a look as what's in there might provide a good preview on how to think about what might be included in our 2030 5-year outlook when we release it mid-February of next year. By way of examples in terms of additional progress since that specific disclosure and subsequent to quarter end, on July 14, the Bureau of Land Management provided a positive record of decision on Solidus Resources Spring Valley project in Nevada, meaning this large-scale gold heap leach project is effectively shovel-ready. And speaking of shovel-ready projects, July 21, Osisko Development announced that it secured a $450 million project loan facility secured from a new strategic partner, Appian Capital Advisory to fund development and construction of the Cariboo Gold project. This includes $100 million initial draw that enables [ ODV ] to accelerate the project preconstruction activities and materially derisk the project. Further to this, announced just last week, Osisko Development raised an additional $195 million through concurrent bought deal and private placement equity financing, the latter with a strategic investor. Both the debt and equity combined, along with indications of interest from commodity traders seeking high-quality concentrate offtake and other potential financing arrangements that Osisko Development is actively negotiating will provide the necessary funds to complete the construction of the mine. This is all extremely positive for [ ODV ] and ourselves, given we have a 5% NSR at Cariboo. Finally, once the parallel equity offerings are closed as of mid-August, OR Royalties' equity position in Osisko Development will be reduced to approximately 14.3% on an undiluted basis versus our current 24.4% as of June 30, 2025. Neither Spring Valley nor Cariboo, both of which would require approximately 2-year construction periods are included in our 5-year outlook for 2029 and collectively represent approximately an additional 16,000 annual GEOs earned from Tier 1 mining jurisdictions once both projects are operating and the royalties are being paid. This provides a good segue to Slide 14, where you can see all the projects listed, including Spring Valley and Cariboo in our optionality bar on the far right of this chart, along the same lines of the projects listed as part of our current 5-year outlook for 2029. All of the growth from the listed projects across the blue bars is already bought and paid for with no contingent capital associated or required from OR Royalties. I wanted to also take some time to highlight the expansion asset that sits on the very top of the optionality bar, and that's the Odyssey second shaft at Canadian Malartic. Our partner, Agnico Eagle continues to believe all the necessary disclosure on the concept to result in internal belief here at OR Royalties that we're now just talking about when and not an if. In fact, on Agnico's conference call held on Thursday last week, Agnico management made an explicit reference to future throughput and gold production scenario with both shafts in operations, running a combined underground -- running at combined underground mining rates of 30,000 tonnes per day and 750,000 to 800,000 ounces of gold per annum from the single ore body. The sheer amount of gold discovered to date at Odyssey Underground and more specifically East Gouldie in which we have the 5% NSR royalty and which continues to expand is nothing short of staggering. And today, our partner, Agnico, still has 26 drills turning to add to this mineral resource and reserve ounce inventory and firm up the confidence of what has been previously defined. Based on our current understanding, Agnico is taking a well-warranted methodical approach -- methodical approach to the potential of the second shaft. Consequently, it's unlikely that there will be any meaningful disclosure as it relates to the specific details of Agnico's findings until late '26, but most likely early 2027. As of today, it's our belief internally at OR that the value of the potential second shaft at Odyssey is not currently fully reflected in our share price despite the fact that we truly believe that there's no doubt it will be happening and that the additional GEOs from a second shaft alone would be the single biggest individual asset growth driver for OR Royalties once it's all in production. And recall, the potential second shaft only serves as a component, albeit a key one to Agnico's broader plans, which could see the entire Canadian Malartic complex produce 1 million ounces from the 2030s onwards when factoring additional ore sources such as Marban and Wasamac. Switching gears, I also wanted to highlight an asset that has not been included in either of these slides or -- and that is of the Eagle mine in the Yukon. At this stage, there isn't much detail to add here outside of what's already in the public domain; however, most recent updates include the early July release of the independent review Board report on their findings as to the cause of the heap leach failure back over a year ago in June 2024, along with the current conditions of the facilities on site. Eagle is now officially up for sale after an Ontario court approved the mine receiver's application to begin the sales process. The receiver, PricewaterhouseCoopers has outlined a 2-phase sale process and a submission to the Ontario Superior Court of Justice. The receiver will accept letters of intent very shortly, and then we'll choose qualified submissions to file an actual bid. Their timing is around October 15. In a decision filed to the court, the presiding judge noted that all parties agreed that it was time to put the mine up for sale. The judge also said that while the First Nation of Na-Cho Nyak Dun did not oppose a sale, they are asking to be kept informed throughout the process. OR Royalties will continue to provide as much information as it can along the way. But needless to say, the next 6 to 8 months will be very telling as it relates to the potential future restart of Eagle. Quickly on Slide 15. On top of everything else we've mentioned, here is an updated list of key catalysts on currently producing assets on the left and key near-term development projects that fall within our 5-year outlook on the right. I'll single out just 2 for now. First, on May 27, MAC Copper announced that it had entered into a binding scheme implementation deed with Harmony Gold to acquire 100% of the issued share capital in MAC Copper. Both of OR Royalties' silver and copper streams at CSA remain unchanged in terms of future GEOs to OR Royalties from the asset. And as noted in last night's press release, we couldn't think of a better operator than Harmony possessing the technical expertise to continue the path of the optimization and growth that already saw tremendous progress under MAC Copper's leadership. The transaction is expected to close in the second half of 2025. Looking to the right of the slide and announced just last week, Gold Fields confirmed the continuation of the environmental assessment process for windfall through the submission of the second series of responses to [ COMEX ] questions. Recall that the most recent fulsome update from Gold Fields provided the expectation that an updated feasibility study, along with final project permits as well as final [ IBA's ] with the relevant First Nation groups are all expected in the second half of this year, with the final investment decision and initial project construction expected in early 2026. Finally, we'll end the formal part of the presentation on Slide 16, which outlines the current state of OR Royalties' balance sheet. At quarter end, we had a total debt of just under $36 million, and we are also in a net cash position of $14 million. This net cash number would grow to approximately $63 million if we were to include the $49 million value from our MAC Copper shares, which are listed on this slide as investments held for sale. Factoring this all in, with over $900 million in potential available liquidity at the end of the quarter, the balance sheet is looking incredibly strong and has gotten even stronger subsequent to quarter end with OR Royalties having paid down an additional $21 million in debt. Our improved financial position is key as OR Royalties' corporate development team continues to be stretched to capacity across multiple transaction opportunities. We're hoping to make some announcements on new meaningful transactions between now and the end of the year. At the same time, our robust organic growth profile and deep pipeline of palpable optionality affords OR Royalties the luxury to pick our spots and wait for the right deals as we are not just willing to sacrifice investment returns or deal economics just for the sake of adding gold equivalent ounces. As such, we plan to adhere to our time-tested strategy of disciplined capital allocation in the pursuit of high-quality accretive streams and royalties that will bolster the company's current and near-term GEO deliveries as well as cash flows for the benefit of our current and future shareholders. And with that, we will conclude the formal part of today's call, and we can move forward with the Q&A. Joelle?
Operator: [Operator Instructions] Your first question comes from Fahad Tariq with Jefferies.
Fahad Tariq: Can you provide some more color on maybe the second half of this year and where the incremental GEO sales are coming from? The way we're modeling it right now, it looks like it's going to maybe trend the lower end of the production guidance range, but just wondering what we're maybe missing. I think you mentioned Canadian Malartic and Namdini, but is there anything else we should be aware of?
Jason Mark Attew: Yes. Thanks, Fahad. So to answer your question, we've been quite explicit about, again, 45% for H1 and 55% for the second half. Most of that pickup will come from a few things. Firstly, as you correctly pointed out and what I mentioned on the call, we expect Canadian Malartic to continue to perform at our internal budget or better going forward given, again, the tails deposition is certainly on track or ahead of schedule. The second thing and probably the most notable thing is we have an expectation at Mantos Blancos for the silver grade. The throughput is obviously quite steady right now at 20,000 tonnes per day, if you look at their disclosure. But what's been disappointing in our end is essentially the silver grade not meeting expectations. So we do expect that the silver grade at Mantos to be trending up over the second quarter. We also obviously have the continued ramp-up at Tocantinzinho and in the second half of this year, Namdini, who is essentially putting the mine through ramp-up as well. That will be a contributing factor to the second half, again, the 55-45% split.
Fahad Tariq: Okay. Great. And maybe just switching gears to corporate development. You mentioned the team is stretched to capacity. Just at a high level, can you talk about if there's I guess, philosophically, a preference for producing versus development stage royalties, just given that compared to peers, OR has, I guess, a lower percentage of producing royalties?
Jason Mark Attew: Yes, it's a great question. So obviously, our first preference would be to do accretive deals on producing assets. What we've obviously seen in the market, there's been some pretty significant transactions, and I'd encourage you to talk to those companies that have done those transactions. But those transactions from our perspective, don't meet our economic hurdles for the most part. So we have been involved in the majority of again, the transactions that you've seen printed. We have a number of filters, including, again, the geopolitical profile that I keep talking about. We have to make a decent hurdle for our shareholders. There are a lot of producing opportunities out there that our corporate development team is obviously involved in, but it's incredibly competitive. So we just have to be very disciplined with, again, what we're doing in terms of the economic returns for our portfolio and for our shareholders. With respect to development assets, yes, we are obviously involved in looking at a number of high-quality development assets. But what I would guide you to is our corporate development team is really focused only on development assets that will actually make a difference within our 5-year outlook. In other words, producing GEOs within the next 5 years. So we're not looking at something that's very early stage that could take 15 years essentially to get through all the studies, the permitting, construction and ramp-up. So we really have focused our team on those type of high-quality assets in the jurisdictions that I mentioned earlier that we consider Tier 1.
Operator: Your next question comes from Cosmos Chiu with CIBC.
Cosmos Chiu: Jason, as you talked about the 5-year guidance, and as you talked about, there should be a new 5-year guidance that should be presented to us early next year. So it's great you've talked about some of the assets that have not or are currently not included in your 5-year guidance. I guess my question is, as you look at your new 5-year guidance, what criteria do you consider? Is it timing? Does it need to be fully financed? Does it need to be fully permitted? I'm just trying to get a gauge and to the extent that you can share with us, what could get included? For example, as you mentioned, Spring Valley is not included. And so number one, criteria; and number two, specifically, what could get included to the extent that you can share with us?
Jason Mark Attew: Yes. Thank you, Cosmos. Great question. So we are very vigilant when we're actually looking at our 5-year guidance. And so the broad criteria because it's case by case by asset is we have to have very good confidence and visibility that an asset will actually contribute GEOs over the next 5 years. Obviously, permits are a big factor to it, having a company that's fully financed or visibility to a fully financed solution also would be incredibly important. As we all know, mining is a very, very tough business. So we look at other factors such as social license, such as the track record of, again, our partnering or investee companies. Obviously, companies that have assets in production currently, and I'd just pick out, for example, Hermosa, which is in our guidance of this year -- or sorry, of our 5-year outlook. Again, that's a multi-asset, multibillion-dollar company with very good financial breadth and technical acumen. So those are the type of criteria that we look at when we will update the market in February as to, again, what will be included and what will not. I will tell you right now, more likely than not, given what Osisko Development has done around Cariboo, more likely than not, we're going to be including some contribution of Cariboo in our 5-year outlook. And we'll have to see what happens with assets like Spring Valley and others because, obviously, they've got the record of decision, which is a very positive derisking component, but they're still looking to finalize even though the U.S. EXIM Bank has provided term sheets for up to $835 million, they still yet to finalize a complete financing plan. So there's a lot of factors, but I'd say the 2 biggest ones are permitting, the acceptability and social license on site as well as, again, having the financing in place for us to get complete confidence to include it in our 5-year outlook.
Cosmos Chiu: Great. And maybe switching gears a little bit and following up on Fahad's question here in terms of royalty acquisitions. As we've seen, as you mentioned as well, the activity has picked up and the size of these transactions have certainly picked up as well. We've seen a number of transactions hitting the $1 billion mark. How do you see OR Royalties positioned for some of these bigger deals? It's $1 billion deals. Would that still be within your snack bracket? And along the same topic, did that kind of factor into a decision to increase your line of credit from 500 -- I believe, CAD 550 million to USD 650 million.
Jason Mark Attew: Yes, it's a really good question. So the way I'd answer that, Cosmos, is we certainly need to pick our spots. Again, given where the commodity complex has gone, and you've obviously seen [ a remark ] in some of the deals out there, we have to be true to the economic returns that we're providing to our shareholders. That doesn't mean we've got $900 million of available liquidity to act on accretive transactions for ourselves. So let's just say the $1 billion type transaction in the right circumstance and the right return is not off the table for OR Royalties. We are working on a number of transactions that are significantly less than that, but we also are in the flow with transactions that, again, to meet the precedents that we've seen over the last couple of quarters. It really just comes down to returns. It comes down to the security of the instrument. And what we think is to essentially complement what we believe we have the best portfolio, both growth and quality-wise in the sector to complement that.
Cosmos Chiu: Great. And maybe one last question going to Osisko Development, and it's great to see that they've announced a financing package. I guess there's 2 benefits. Number one, now it is "fully financed." And number two, it helps in terms of diluting your ownership in the company, as you mentioned, Jason, to about 14.3%. I guess my question is, is that -- are you happy with that 14.3%? Or would you want that to go even lower? And maybe if you can kind of touch on the longer-term plans in terms of your holdings and the shares of ODV.
Jason Mark Attew: Yes. Look, it's a great question, Cosmos. Firstly, we'd like to acknowledge and congratulate the Osisko Development team because, obviously, they've derisked the Cariboo project significantly over the course of the last year, getting their permits, having an optimized feasibility study and finally getting the financing in place. I think we were very clear, especially when I came on, that we were no longer going to be funding the Osisko Development, Cariboo through equity placements or through any other type of financial arrangements, given at that time, we own close to 50% of the equity in the company. Through the course of a series of equity dilution or equity offerings, we are now down and will be down when they close these financings to 14%. We are quite happy with our position at 14%. We are quite optimistic. And as I said, do believe that the Cariboo asset is a top quality Canadian producing development opportunity. And again, the big value for us, though, obviously comes from the big chunky 5% NSR we have. So to answer your question, we are currently very pleased with the 14.3% position that we'll have. We continue to have conversations with the Osisko Development management team. And so we're a very -- right now, we're a pleased shareholder. And so that's where I'd like to end that. So we're not looking in any fashion, so I'm very, very clear. We're not looking in any fashion to divest or sell that block in the near term.
Operator: [Operator Instructions] your next question comes from Tanya Jakusconek with Scotiabank.
Tanya M. Jakusconek: Two questions. The first one just follows up on the landscape for potential transactions. So if we eliminate the $1 billion range, what would you say most of your transaction range size-wise would be?
Jason Mark Attew: That's a great question, Tanya. Look, what I will tell you is it ranges anything from, again, somewhere around USD 35 million all the way up to close to the USD $1 billion. Again, we're working on multiple transaction opportunities, and so I can't give you any more specificity than that.
Tanya M. Jakusconek: Okay. And would that also involve, Jason, the total size, including debt positions or equity positions included in these types of transactions as well as just normal streams and other?
Jason Mark Attew: Yes, you can assume that, Tanya, that whatever we provide in terms of financial instruments, the targets are the transaction size, you can assume is all instruments, yes.
Tanya M. Jakusconek: And could I also assume that, that could include corporate transactions in that $1 billion range?
Jason Mark Attew: Well, again, the market has actually done a remarkable thing for all the royalty and streaming companies have all appreciated significantly. But I've always been very, very deliberate and open with yourself and others. Firstly, we're open for business. Secondly, there has been obviously an uptick if you think of the [ Royal Gold, ] Sandstorm transaction on just the interest and, let's say, chatter out there in the marketplace around corporate transactions. We continue to look at opportunities, both corporately and through royalty and streaming transactions that would be accretive to our shareholders. So to answer your question, yes, that would -- corporate transactions are included in, again, the range of dollars that we hope to deploy over the course of the next 6 to 12 months.
Tanya M. Jakusconek: Okay. That's helpful. And then my second question is I haven't seen any additional filings from Elliott. Has there been any update to what was then announced in April? I just haven't seen any further updates. I'm just wondering if you have as well.
Jason Mark Attew: It's a good question. So the last public disclosure that we see is Elliott owns 2.2 million OR Royalties shares. And so I don't think until they actually publish something further, it would not be appropriate for me to speculate beyond that.
Tanya M. Jakusconek: No, I didn't want you to speculate. I just wanted to make sure that that's all that's out there. I haven't seen anything else that I've missed.
Jason Mark Attew: That's what we see as the last public disclosure, the 2.2 million shares.
Operator: There are no further questions at this time. I will now turn the call over to Jason for closing remarks.
Jason Mark Attew: Thank you, Joelle. As always, if anyone on the call or listening to the replay has any additional questions, insights, observations on our business and our business strategy, please do reach out to Grant, Heather and myself, and we'll be more than pleased to provide more information about the bright future for our company and its shareholders. With that, we don't want to delay you any further, knowing that we are one of the last companies to report, and so you can enjoy the remainder of the summer. Thank you very much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.